Operator: Good afternoon, ladies and gentlemen. Welcome to Chunghwa Telecom Conference Call for the company's Fourth Quarter 2021 Operating Results. [Operator Instructions]. For your information, this conference call is now being broadcast live over the Internet. Webcast replay will be available within an hour after the conference is finished. Please visit CHT IR website, www.cht.com.tw/ir under the IR Calendar section. Now like to turn it over to Ms. Angela Tsai, the Director of Investor Relations.  Ms. Tsai, please go ahead.
Angela Tsai: Thank you. This is Angela Tsai, Director of Investor Relations for Chunghwa Telecom. Welcome to our fourth quarter 2021 results conference call. Joining me on the call today are Harrison Kuo, our President; and Vincent Chen, our Chief Financial Officer.  During today's call, management will begin by providing an overview of our business from this quarter, followed by a discussion of operational and the financial highlights. After, we will move on to the question-and-answer portion of the call.  On Slide 2, please note our safe harbor statement. Now I will turn the call over to President Kuo. Please go ahead.
Harrison Kuo: Thank you, Angela, and hello, everyone. Welcome to our first quarter 2021 earnings call. Before providing an update on fourth quarter performance, I would like to begin by highlighting the ongoing success of our strategic transformation that began in 2019.  Three years ago, we launched a customer-centric transformation plan focused on value creation to enhance our market position. Under this plan, we start to improve our competitive advantage by strengthening our core businesses, deploying emerging services, optimizing our cost structure and further enhancing fundamentals such as next-generation networks, IT infrastructure and human resource training.  We concluded our 3-year plan at the end of 2021 with stable key achievements, including our are 3 years of consecutive growth in EBITDA margin, net income and the EPS. Mobile service revenue turned around since the second quarter of 2021,and the churn rate significantly decreased from 2019 to 2021. In addition, the compound annual growth rate of broadband revenue increased by 2%, increasing the enhancement of our core business.  Because of emerging business, we are geared to see compound earning growth rate for both IDC revenue and the cloud revenue increased by 5%. Our ICT business gross profit increased to 70%.  By 2021, our broadband network was 100% software definement work-ready and fiber-to-the-home coverage reached approximately 88%, demonstrating our enhanced core competence.  The net promoter score, NPS, of our services also increased, which reflects the increase in customer satisfaction. Revenue and profit per head increased 6% and 15%, respectively, attributable to increased operational efficiency as a results of cost structure optimization.  Along with the strategic transformation, on Slide 4, you can see we have an organizational transformation effective on January 1, 2022. We transformed our business groups under customer-centric structure. We expect our consumer business group to develop individual and home-centric business, such as mobile fixed broadband, WiFi, MOD and OTT services. We aimed to create value and better experiences for our customers.  For our enterprise business related unit has been transformed into a single business group to streamline service delivery and create a synergy. In addition, the international business group has continued its outreach as we expand our business into overseas territories.  Similarly, our technologically focused units have been transformed into 3 groups, forming a strong foundation to support and operation and provide solutions. Meanwhile, our headquarters will continue to maximize expansions of devising planning and resource allocation. In sum, we expect the new organization structure to bring more customer-centric and responsive as we aim to provide better value creation opportunities for both customers and stakeholders.  Now please turn to Slide 6 for an overview of business from the fourth quarter of 2021. In the fourth quarter, the mobile market in Taiwan remained steady as operators focused on 5G migration and development. By the end of 2021, our 5G penetration rate reached approximately 20% as we expect the -- this rate to reach by the end of 2022.  As we continue to lead in network quality by accelerating 5G deployment at better locations, we remained provident on 5G customer migration and reaching our target maintaining our leading position in 2022. In the fourth quarter, 5G migration continued to drive ARPU uplift. We observed an average of 49% uplift in monthly fees attributable to customers who renew the contracts to above 5G services, particularly from the contribution of iPhone 13-bundled subscribers.  Our excellent home-based infrastructure was well received in the fourth quarter as well. The number home WiFi devices continue to soar by 167% year-over-year. Broadband subscriber number turned positive during the quarter, while revenue hit a record high in December.  The subscriber migration to our broadband services of 300 megabits per second or higher increased by 45% year-over-year. Our broadband ARPU also continued to increase year-over-year, in line with our expectations. MOD ARPU also grew on a year-over-year basis as a result of successful upselling during the quarter.  Looking ahead, we will strive to develop video services by providing more popular content and leveraging 5G to create immersive viewing experiences. We are pleased to announce our ICT business achieved its full year revenue and margin by the end of 2021. In particular, the ICT project margin for 2021 continued to grow, which is reflective of our over performance and demonstrating that our enterprise business is on track and expect to do well in the future.  Now allow me to walk you through each of our business lines. Turning to Slide 7, you may find the updates on our mobile business. In the fourth quarter, we maintained our leading position in the mobile market. As both revenue and the subscriber market share, excluding IoT SIMs, increased to 38.9% and 36.1%, respectively.  During the quarter, our mobile customer net adds and postpaid net adds both ranked highest among the big 3 majors as postpaid subscriber numbers increased year-over-year and the 5G migration enhanced the adoption of high-priced plans. Our mobile service revenue maintained its upward trend, resulting in a year-over-year increase of our postpaid ARPU.  Looking ahead, we will guide our services with a key focus on our customers, rolling out popular bundled services for innovative 5G applications to further drive up 5G migration and mobile ARPU.  Please turn to Slide 8 for an update on our broadband business in the fourth quarter. During the quarter, our subscriber net adds continued to increase year-over-year, and the broadband subscriber net adds turned positive year-over-year, which reflects the market's growing demand for fixed broadband. We were also pleased to see that our broadband ARPU increased by 3% year-over-year, attributable to our success in migrating subscribers to adopt higher-speed services.  In addition, the number of subscribers that sign up for commercial speeds of 300 megabits per seconds or higher increased by 45% year-over-year. Looking ahead, we are confident that we will maintain the overall upward trend in our broadband business as we believe our digital transformation trend is most likely turning back. As our consumer business group prepares to develop small solutions, we expect to introduce more popular home-centric services in the future to enhance customer user experience.  Slide 9 illustrates our MOD business performance. In the fourth quarter of 2021, MOD subscriber numbers decreased slightly, while our media subscriber number increased by 20% year-over-year. Despite this, MOD revenue maintained its growth trend and increased 2% year-over-year as a result of our pricing strategy. The SVOD package that rolled out in the fourth quarter of 2021, quickly accumulated a gross subscription number and the service volume strengthened SVOD revenue growth for 4 consecutive quarters.  General revenues continue to increase year-over-year as 90% of subscribers opted for the highest-priced package among the T pricing schemes. As a result, MOD ARPU achieved a year-over-year increase in the fourth quarter.  Moving forward, we will make investments in content development to further enhance our video service performance and different billing platforms to maintain our leading position as the largest video platform in Taiwan.  Please turn to Slide 10 for an update on our ICT business. In the fourth quarter, both ICT project margin and the gross profit increased year-over-year as a result of our effort to take our -- to take on projects with high returns, which is positive to our overall bottom line. Excluding the large project impact from 2020, ICT revenue in the fourth quarter increased by 22% year-over-year, mainly due to revenue recognition from financial projects, and the cloud revenue increased 3% year-over-year.  Revenues from cyber security decreased year-over-year due to delays in project revenue recognition. However, we remain positive that the aforementioned business will grow at a double-digit rate in 2020 -- in 2021 -- sorry, 2022.  In 2021, we were glad to see the 5G private network reach $1 billion value as a result of our recent efforts, such as introducing the first 5G smart factory in Taiwan. In addition, we were proud to report some indicative ICT projects such as building the first response emergency signal control system in Taiwan. Big data analysis performs for large property service companies, as well as the network test field for 5G vendors.  Looking ahead in 2022, we are pleased to see that the number of orders taken has exceeded our annual guidance mainly attributable to opportunities from the government, enterprises, retail stores and the tourism industry.  Now I would like to turn the call over to our CFO, in Vincent Chen, who will review our financial results. Vincent, please go ahead.
Vincent Chen: Thank you, President Kuo, and hello, everyone. I will now walk through our fourth quarter financial results. To begin with, please turn to Slide 12 for highlights on our income statement.  For the fourth quarter of 2021, on a year-over-year basis, total revenues increased by 0.7%, while operating costs and expenses decreased by 3.7%. Income from operations increased by 5.8% and our net income increased by 5.1%. In addition, our EBITDA margin increased to 34.82% from 33.45% in Q4 2020. Slide 13 provides a breakdown of revenue by business segment. In the fourth quarter of 2021, total revenue increased by 0.7% year-over-year mainly due to the increase in revenues from handset sales and mobile service revenues, driven by the 5G migration and the iPhone 13 range as well as the increase of data communications revenue and broadband access revenue as a result of the demand of broadband speed upgrade amid the work-from-home trend and stay-at-home economy, which offset the decrease of ICT part job revenue.  Moving now to Slide 14. Our operating costs and expenses for the fourth quarter decreased by $1.88 billion or 3.7% year-over-year. mainly due to lower ICT project costs, partially offset by the higher cost of goods sold. As you can see in Slide 15, cash flows from operating activities for the fourth quarter of 2021 decreased by $0.66 billion or 2.4% compared to Q4 2020. This was mainly due to an increase in accounts receivable resulting from ICT projects.  As of December 31, 2021, the balance of cash and cash equivalents was $39.82 billion, an increase of $9.4 billion or 30.9% compared to December 31, 2020. The increase was primarily attributable to the issuance of corporate bonds.  On Page 16 you will find a table that contains our financial results with forecasts. As you can see, in the fourth quarter of 2021, all of our performance measures with our proposed guidance, terminal results can be attributed to higher revenues from mobile services, broadband access and data communications. Moving on to Slide 17. Please see our consolidated guidance for 2022. Looking ahead, total revenue for 2022 is expected to increase by between 1.1% and 1.7% compared to 2021, driven by the upsell on to 5G adoption, the ARPU uplift from broadband upgrades, emerging revenue as well as ICT revenue coming from the expansion of emerging business in the digital economy.  Operating costs and expenses for 2022 are expected to increase by between 2% and 2.2% as a result of an increase in maintenance and repair costs as well as ICT business cost. Given these projections, we expect our EPS to increase up to 0.8% on a year-over-year basis.  Please turn to Slide 18. Our CapEx spending in 2021 was $35.3 billion, which was lower landed budgeted amount of $43.1 billion, mainly due to some ICT and submarine cable projects that have been deferred to 2022. Cash out was higher than our budget in accordance with the accelerated deployment of 5G base stations in 2021, also marking the peak in 5G investment in recent years.  Going forward, we expect the 5G CapEx to trend down. For 2022, we budgeted $36.8 billion in CapEx, which includes spending on our business focuses as well as future opportunities such as construction of 5G network, ICT and submarine cable. Now I would like to turn the call over to President Kuo our awards and recognitions.
Harrison Kuo: Thank you, Vincent. Slide 19 highlights our awards and recognition from the fourth quarter, highlighting our distinction in mobile service, 5G space and private 5G network service as well as domestic and international recognition of our ESG practices and sustainable operations. We are delighted to see our 5G services receive awards in a call like this. The speed test recognized Chunghwa as the fastest 5G and the fastest mobile network in Taiwan during the third and the fourth quarters of 2021. Similarly, we achieved the fastest 5G download speed and upload speed and regarded as the best in user experience across gaming, video and the voice IPP services in Taiwan.  As we aim to expand our 5G private network solutions to the Southeast Asian market, we appreciate the Opensignal International Institute, Frost & Sullivan for awarding of the best private 5G network for customer value leadership in Taiwan. International institutes as well as those in Taiwan have acknowledged our ESG performance with top awards in the fourth quarter, which further encourages on our endeavors. Going forward, we aim to leverage our telecom capabilities and carry out digital employment to help company's digital transformation, further achieving carbon footprint reduction.  Thank you for your attention. Now I would like to open the floor for questions.
Operator: [Operator Instructions]. Our first question is coming from HSBC, Neale Anderson.
Neale Anderson: Two questions, please. So the first one relates to the 5G network coverage. And I was wondering if you have any targets for this year in terms of the number of base stations or population coverage that you can share with us.  The second question is on 5G service adoption. I'm interested to hear, now that you've had 5G in the market for some time, if you can share your thoughts on which areas -- which business customers are likely to adopt 5G first.
Angela Tsai: I think talking about 5G network coverage in terms of population. I think we, previously, mentioned this is a lot of different kind of ways to calculate it, okay? So it's really difficult for us to really give the number.  At Chunghwa why we are leading brand, currently. Unless 90% of the population coverage we can give the number. But you have to understand that there's different ways to calculate it. But for Chunghwa a leading brand, I think earlier in the presentation, we mentioned that we actually are a lot of internationally in the domestic in the road now. So we are pretty confident we have a pretty good network quality. Thank you.
Harrison Kuo: To answer your question number two, the end of the 2021, we have more than 12,000 base station island wide. And for the 5G market, the government and the enterprise business segment will be the -- and they deploy first. And the vertical small solutions will be deployed very -- so as we accumulate a hard year customer focus feedback. Thank you.
Operator: The next question is coming from UBS. Sara Wang.
Sara Wang: So my question is regarding guidance for 2022. So it seems the implied growth is lower than 2021 for revenue, EBITDA and net profit. I mean actually for net profit, is skewed towards negative growth. So may I ask, what is the key reason here?
Vincent Chen: So basically, when we prepare our budget, we take a prudent approach in the sense that China to be overly optimistic. We try to be cautiously optimistic. And also, we only focus on -- not only -- we basically focus on the income from our operations and recurring items. So that's why for some of the gains on investments, actually, China to be to emphasizing on these items.  So that's why when we look at the forecast numbers, it's up between 4.4% and 4.55% in. But having said that, it doesn't mean we -- our target is to hit 4.4%. Actually, we are still -- we'll try very hard, and we will start to hit the high boundary of our forecast. Thank you.
Operator: [Operator Instructions]. The next question is coming from UBS. Sara Wang.
Sara Wang: So just one quick question on ICT business. So we have been disclosing the growth rate for several quarters. But what would be percentage in terms of contribution to total revenue? And then how is the margin profile of the, say, overall ICT revenue?
Vincent Chen: So entirely for the ICT business, it accounts for 12% of our total revenues. And for the gross margin, it's about double-digit. It's about 10% plus. And we expect that those will still be moderate.
Sara Wang: And then so going forward, are we also like counting 5G enterprise projects inside this ICT revenue?
Vincent Chen: Yes.
Operator: The next question is coming from Deutsche Bank, Peter Milliken.
Peter Milliken: My question is about the impact of the merger that we have been proposed in the market. Do you have any views on how that may impact or the industry in the medium term and what opportunities and the challenge will come from it?
Angela Tsai: Peter, could you repeat your question?
Peter Milliken: Sure. Yes, I was asking about the merger in the market that's been proposed between T Star and Taiwan Mobile, what challenges and opportunities you see presenting to Chunghwa as a result of that merger? And whether you think there will be other industry impacts from it?
Harrison Kuo: We think -- the decrease of the number of mobile operators will be really helpful for a healthy market in the midterm. And we think Chunghwa has the -- not just the 5G plus 4G spectrum resources to serve our enterprise and our retail customers and the program on non-standalone network structure. That is very important.  Currently, we have built more than 12,000 5G base station as I mentioned earlier, including more than 10,000 consecutive 20-megawatt hertz -- 3.5 gigahertz with the largest spectrum provides excellent user experience.  As for the 5G private network. We have been opening quite a few projects for leading companies and government entities in Taiwan for smart solutions, might -- smart manufacturing, et cetera, as I mentioned earlier. And our 5G ecosystem is relatively mature and ready in terms of devices, equipment, et cetera. And actually, it takes time to integrate our network and mentioned synergies of such integrations. Yes.
Operator: [Operator Instructions]. There are no further questions, I will turn it back over to President Kuo. Go ahead, please.
Harrison Kuo: Thank you for your participation, and happy Chinese New Year. Goodbye.
Operator: Thank you, President Kuo. Thank you for your participation in Chunghwa Telecom's conference. There will be a webcast replay within an hour. Please visit www.cht.com.tw/ir under the IR calendar section. You may now disconnect. Goodbye.